Operator: Good day, everyone, and welcome to the American Woodmark Corporation Fourth Quarter 2015 Conference Call. Today's call is being recorded, June 2, 2015. We will begin the call by reading the company's Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission and the Annual Report to shareholders. The company does not undertake to publicly update or revise its forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized. For opening remarks and introduction, I'll now turn the conference over to Glenn Eanes, Vice President and Treasurer. Please go ahead, sir.
Glenn Eanes: Thank you. Good morning, ladies and gentlemen. Welcome to this American Woodmark conference call to review our fourth quarter and full year financial results for our fiscal quarter and year ending April 30, 2015. Thank you for taking time to participate. Participating on the call today from American Woodmark will be Kent Guichard, Chairman and Chief Executive Officer; Cary Dunston, President and Chief Operating Officer; and Scott Culbreth, Senior Vice President and Chief Financial Officer. Scott will begin with a review of the quarter and year and an outlook on the future. After Scott's comments, Kent, Cary, and Scott will be happy to answer your questions. Scott?
Scott Culbreth: Thank you, Glenn. Good morning, everyone. Today, we released the results of our fourth fiscal quarter ended April 30, 2015. Financial headlines for the quarter. Net sales were $207 million, representing an increase of 10% over the same period last year. Reported net income was $11.3 million or $0.69 per diluted share in the current fiscal year versus $5.6 million or $0.36 per diluted share last year. Excluding after tax restructuring charges, the company generated $11.2 million or $0.68 per diluted share of net income for the fourth quarter in the current fiscal year compared with $5.4 million or $0.34 per diluted share for the same period of the prior fiscal year. For the quarter, the company generated $22.8 million in cash from operating activities compared to $17 million for last year. For the 12 months ended April, year-to-date net sales were $825.5 million, representing an increase of 14% over the same period last year. Net income was $35.5 million or $2.21 per diluted share in the current fiscal year versus $20.5 million or $1.31 per diluted share last year. Excluding after tax restructuring charges and the one-time benefit of Research and Experimentation Credit, net income was $34.2 million or $2.10 per diluted share, an improvement of 63%. For the current fiscal year, the company generated $58.8 million in cash from operating activities compared to $40.5 million for last year. Some additional comments on sales performance starting with the new construction market. Recognizing a 60 day to 90 day lag between start and cabin installation, the overall market activity in single-family homes was up over 10% for the financial fourth quarter. Single-family starts during December, January and February of the prior period averaged 611,000. Starts over that same time period from the current year averaged 676,000. Our new construction base revenue increased over 15% for the quarter. We continue to over-index the market due to share penetration with our builder partners and the health of the markets where we concentrate our business. The remodel business continues to be challenging. On the positive side, unemployment continues to improve. The U3 unemployment rate dropped to 5.5% and U6 fell to 10.9% for the first calendar quarter of 2015. Consumer sentiment remained high at 95.9 in April. Existing home sales increased during the first calendar quarter 2015 with March at its highest annual rate in 18 months. During January and March of 2014, existing home sales averaged 12.7 million units. That same period for 2015 averaged 5 million units, an improvement of 6.2%. Interest rates remain low in the quarter with a 30-year fixed-rate mortgage at 3.67% in April, an improvement of approximately 67 basis points versus last year. All cash purchases fell versus the prior year. 24% of all transactions were paid in cash in March versus 33% last year. From a negative side, inflation-adjusted average household incomes are the same as they were 20 years ago and too many workers are in part time jobs wanting full-time employment. Residential investment as a percent of GDP for the first calendar quarter 2015 remained flat at 3.1%. The indexes remained flat for the last six calendar quarters and the index remains well below the historical average of 4.6 from 1960 to 2000. Home ownership rates also continue to decline. The percent of Americans who own their own home in the first calendar quarter was 53.7%. This is the lowest reported level since the first quarter of 1993. The share of first-time buyers remains low, but is slowly improving. The March reported rate was 30%, which is well below the historical norm of 40%. The Median existing home price rose 7.8% for March, the 37th straight month of year-over-year gains, which impacts our consumers' affordability index. We believe the cabinet remodeling market grew in the low single digits during the quarter. Our combined big box and dealer remodel revenue also grew in the low single digits during the quarter. We continue to maintain our share in the big-box channel and the dealer channel over-indexed the remodel market due to the more fluent nature of the customer base. Our Waypoint brand continues to gain share, and we grew our dealer business at a faster rate than both the overall remodel and dealer channels. Waypoint represents approximately 9% of our overall revenue. Promotional activity was higher than the prior year for the fiscal fourth quarter as responded to competitive positioning and market conditions. Regarding gross margin performance, the company's gross profit margin for the fourth quarter of fiscal year 2015 was 20.9% of net sales versus 17% reported in the same quarter of last year. The company generated a year-over-year incremental gross margin rate of 62% for the fourth fiscal quarter. Gross margin was positively impacted in the quarter by higher sales volume and improved operating efficiency as we generated favorable leverage on our semi-fixed and fixed overhead with additional volume. The company generated leverage on overhead with spending increasing 4% on a 10% increase in sales. Average unit material cost increased approximately 2% primarily due to ongoing inflation. Year-to-date gross profit margin was 18.5%, compared to 17.1% for the same period in the prior year. Year-to-date, the company generated year-over-year incremental gross margin rate of 29%. Regarding operating expenses, total operating expenses increased from 12.3% of net sales in the fourth quarter of the prior year to 12.4% this fiscal year. The 12 month SG&A improved from 12.5% of net sales to 11.9%. Selling and marketing expenses were 8% of net sales in the fourth quarter this year, compared with 7.9% in the prior year. The company did not generate leverage this quarter due to launch cost and customer training expenses. General and administrative expenses were 4.4% of net sales in the fourth quarter of fiscal year 2015, compared with 4.4% in the prior year. With respect to cash flows, the company generated net cash from operating activities of $58.7 million for fiscal year 2015, compared with $40.5 million during the same period in prior year. The improvement in the company's cash from operating activities was driven primarily by higher operating profitability and lower increases in customer receivables, which is partially offset by increases in inventory levels to support higher sales. Net cash used by investing activities was $56.6 million during the current fiscal year, compared with $9.6 million during the same period of the prior year, due primarily to $35.5 million investment in short-term certificates of deposit and increased investment in property, plant and equipment. We’ve spent approximately $10.2 million for our South Branch plant expansion. The company expects to spend $17 million in the first half of fiscal year 2016. Net cash provided by financing activities increased $3.9 million during the current fiscal year, compared to the same period in the prior year, primarily by reducing debt payments by $3.2 million. Additional activities include lower proceeds from exercise of stock options of $1.1 million and additional common stock repurchases at a cost of $1.9 million. Closing the remodel market continues to be a challenge. Dealer channel are still outperforming the market with a more fluent customer base where the home center channel continues to lag the market with the middle-income consumer. New construction market appears to be improving with April single-family housing starts growing 14.7% versus prior year to 733,000 units. Consumer confidence has improved, but the middle-income consumer's willingness to spend on a new home or begin big-ticket discretionary home improvement projects remains low. Inflation pressure has slowed and we continue to generate favorable leverage on our semi-fixed and fixed overhead with additional volume. I’m sure our ending cash position of $185 million will generate some questions. As previously stated, we are comfortable with our cash position, as it allows us flexibility and speed as opportunities are presented in the market. Housing starts will continue to rebound and we believe we are better positioned to be able to respond effectively by investing in respective opportunity. In addition, as a means to better manage our stock repurchase program, we are establishing a 10b5-1 plan for the company. Regarding our fiscal year 2016 outlook, for the market, we expect single-family housing starts to grow 8% to 10%. Interest rates decline along with continued increases in the average price of new homes. Both factors will negatively impact affordability particularly for the important first-time and first upgrade buyers and unemployment should remain steady. In this environment, our expectations for company performance are as follows. The remodeling business will continue to be challenged until economic trends remain consistently favorable, but we expect to generate growth in the home center and dealer business. New construction business should continue to perform ahead of the market, but to a lesser extent in prior year trends. Gross margin will be impacted in Q3 and Q4 as we bring on our facility expansion. In summary, the company expects to increase its gross margin rate and grow net income in fiscal year 2016. This concludes our prepared remarks. We’ll be happy to answer any questions you have at this time.
Operator: Thank you, sir. [Operator Instructions] And we will take our first question today from Josh Chan with Robert W Baird.
Josh Chan: Good morning guys, congrats on a great quarter.
Kent Guichard: Thank you.
Scott Culbreth: Thank you.
Josh Chan: Yeah. I wanted to ask about the repair remodel market and what's your expectation about market growth as you think about next year and if you can talk about also kind of the promotional dynamics that you expect to go on and how that might be different or the same as what you saw this year?
Cary Dunston: Hi, good morning, Josh. It’s Cary. As I always say forecasting has been pretty tough for us. If we look at home center, I think as Scott mentioned, it is pretty dependent upon that middle-income consumer coming back into the market and being able to go out on a discretionary side and start spending some of the bigger ticket items such as cabinets. We are forecasting the lower single digit this year as well for the home center market. It’s all pretty tied to that middle-income where it’s a first time homebuyer going out or that consumer getting back into market, they are all fairly related. But right now, I would be looking at quite low single digits.
Josh Chan: Okay. Any changes on…
Cary Dunston: [indiscernible]
Josh Chan: Yes, the promotional dynamics, any changes there?
Cary Dunston: It’s always hard to judge as well. Obviously where we respond to market and respond to competitors. Right now, our trends will be based on historical norms. If you look at prior history, we expect to be pretty consistent with where we’ve been in prior years. I would say if normalized level, so nothing on the horizons right now that would expect us to have anything outside the norms for promotional activity in any of our fronts.
Josh Chan: Right, that’s good to hear. And Scott, on your comment about the gross margin increase, even with the planned capacity coming on in the second half of the year, do you still expect to achieve 25% incremental gross margin this year or could that be more difficult because of the added capacity?
Scott Culbreth: Yes. So our stated goal is to be in that 25% range as we go forward. We’ll have some impacts in Q3 and Q4 as we bring in the expansion on. We should get relatively close to that 25% goal for the year but it will be sporadic when you look at first half versus second half.
Josh Chan: Okay. And then last question, you mentioned some SG&A program cost and training expenses, were those related to the dealer initiative and how should we think about SG&A leverage as we look into next year?
Scott Culbreth: No, those costs were not specific to the dealer channel. Those were across the product portfolio. So we had some product launches that came out, so we had literature and sample cost associated with that. There was a specific training event with designers that was more on the home center side as oppose to the dealer side. As far as future progression around SG&A, we don’t give specific guidance there but we don’t expect to see any tremendous change up or down versus what our run rate was in fiscal year 2015.
Josh Chan: Okay, great. Thanks so much and congrats on the quarter.
Scott Culbreth: Thank you.
Kent Guichard: Thanks, Josh.
Operator: We’ll take our next question from Nick Coppola with Thompson Research Group.
Nick Coppola: Hi, good morning.
Kent Guichard: Good morning.
Nick Coppola: I just wanted to follow-up on the incremental gross margin [indiscernible]. Is the right way to think about easy comps in the first half then it kind of moderate in the back half and then you’ve got the plant expansion as well. How should we think about incremental gross margin for the year?
Scott Culbreth: Yes, I think that’s the appropriate way to view it.
Nick Coppola: Okay. Is there any kind of pricing impact?
Scott Culbreth: We typically don’t give any specific guidance around pricing actions. We’ve said in the past couple of quarters that pricing typically it trails inflationary increases up to six months. Fortunately for the last couple of quarters, we’ve talked about the pace of inflation slowing. So that’s not created a lot of pressure on the pricing front at this stage. We will note that we have seen as of late some signals that perhaps hardware pricing may start to tick up a bit, but we’ve not experienced any of that in our actual purchases as of yet. Back to your original question, I would hate the word easier comps but our problem is it should be a bit stronger in the first half is how I would state it. And then in the second half, we would continue on that trajectory but didn’t have the headwinds of the expansion certainly for a quarter or two.
Nick Coppola: Okay. And then is there any colors you’d like to add about the management transition and any kind of change we would expect to see it kind of in terms of strategy or anything like that.
Kent Guichard: I’m sorry, you broke up there. What was the last part, expect to see what?
Nick Coppola: Any change in strategy or anything like that?
Kent Guichard: No. I mean we are fortunate we just celebrated our 35th anniversary and as you know you’ve followed us, we do have a lot of consistency and continuity in our leadership. And we just got to the point, we felt that it was time to again make one of those orderly transitions, we do internal promotions, Cary has been around the business for nine years, done a lot of great work. So it was just kind of time in our history and again because Cary has been part of the organization for going on 10 years, and part of the strategy and development he can speak to it as well, but I wouldn't expect us to see any change or significant changes in terms of our longer-term strategy.
Cary Dunston : No, I mean it’s really driven by our 2019 vision, which we've been pretty communicative on and it is challenging us to think differently about the business and look at strategy different, but it’s not necessarily tied to change in leadership, it’s just a change in the required strategy of the business.
Nick Coppola: Okay. Thanks for taking my question.
Operator: We’ll take our next question from Garik Shmois with Longbow Research.
Mark Zikeli: Hi guys this is actually Mark Zikeli on for Garik today. Just on the quarter, new construction, obviously very strong up 15%, wonder if you can speak to the regional variance, if there was any and if you could talk about what you're seeing in your Texas exposure, that would be helpful.
Scott Culbreth : Yeah, we get that question specific to Texas last quarter and we've not seen any significant changes in our business there at this point in time, as it relates to oil pricing or any significant slowdown, we still saw nice growth in the quarter. From a regional play standpoint, I’d say for us we were a little bit weaker from a year-over-year comp standpoint in the Southeast region and in California, but then pretty good growth rates in the rest of the country.
Cary Dunston : Yes, we are seeing some recovery, I will say it was a hard winter. So as you start to pull out of that one, you have to start to differentiate any type of lag impact from some built-up demand from the winter versus new stuff and we are watching pretty closely. But as Scott said, Houston - somewhat surprisingly we really haven't seen any negative impact, we are keeping a close eye on it, even with all the storms down there and now we’re keeping a close eye on it, but nothing substantial yet.
Mark Zikeli: Okay. And then going back to the dealer channel a little bit, I guess if you could speak to some of the consolidation in the industry obviously with Fortune Brands and Norcraft recently, just wondering how you guys think that affects you?
Cary Dunston : That's a strategic plan in their part, we - there is always pluses and minuses that come with any change, but to us it is just change. We are positioned very well and we how we differentiate ourselves based on service and we do not expect it to limit our growth, in fact we are obviously going out looking for additional opportunities and we feel there will be some additional opportunities presented by this. So, we will continue to be aggressive and continue to plan to grow market share.
Mark Zikeli: All right, thank you so much, best of luck.
Cary Dunston: Thank you.
Operator: [Operator Instructions] We will go next to Scott Rednor with Zelman & Associates.
Scott Rednor: Good morning and Cary congratulations on the announcement. I wanted to ask, just on the capacity, can you guys frame how much capacity within your plan and however you guys want to contextualize it, how much is expansion is providing for the overall network?
Cary Dunston : We haven't got any specifics on the past, it definitely takes us into the future by several years, so obviously it’s kind of hard to predict and give specific numbers because it is very depended upon mix, and this plant does give us increased capacity on kind of our core product, which you know solids and paints and so forth. So, based on the trends where we see the market going, it actually has a bigger impact than was in the past because the market is growing where we need it, and where the plant is adding capacity, so it’s valuable capacity, but - they work very good on capacity for several years into the future.
Scott Rednor: Is it fair to say if - no please go ahead, sorry.
Cary Dunston : Like I said, as we've talked about this in the past as well as when we did the announcement for the expansion, you know this was the next bottleneck, so we are attacking the bottleneck, it gets is out a couple years and we feel we won't have any pressures, unless the market takes off and then we would all face that challenge at that point in time.
Scott Culbreth : And obviously how we define capacity is depended upon the type of plan, you have a similar capacity and so forth and we have many strategic options available to us to deal with capacity limitations as well. So, we are very well situated going into the future.
Scott Rednor: So, I guess your general consensus is that, in the market, housing market will get close to 1.5 million housing starts plus or minus if you were to get there, do you guys need another big capacity expansion beyond this or is that sufficient within that contest?
Cary Dunston : We continue to analyze, I mean that's the important part of our discussions now when we talk about certainly our balance sheet and Kent has mentioned about opportunities as the market grows. We do expect the markets grew, we expect single family – excuse me to give back up to that 1.2 million or so and as it does, yes, we will continue to evaluate opportunities and where we make additional investments, that bricks and mortar, we can’t say that sure yet but we are well positioned as we’ve said in the past we’ll able to take advantage of that.
Scott Rednor: Okay. And Scott, on the 10b5-1 Plan, can you just maybe give a little more detail what exactly that entails now going forward and why you chose that rail versus repurchasing through the open market?
Scott Culbreth: Yes, I won’t get into the specifics of exactly how we have the plan to establish but we wanted to put one in place because as we found in the past we were limited in our ability to execute in the market because of the overall volume that we see, plus do we trade inside the window, do we trade outside the window that we haven’t engaged for our employees. So we just – we wanted to make sure we have the appropriate level of flexibility to be able to execute trades and purchase going forward, and 10b5 was the best route we saw going forward for that.
Scott Rednor: And it was in context – you guys will be committed to offsetting dilution, I think that was the prior guidance, is that still fair with this new plan?
Scott Culbreth: That is correct.
Scott Rednor: Okay, great. And then just lastly, could you with the unit material cost up 2%, was that a fourth quarter comment?
Scott Culbreth: Yes, it was.
Scott Rednor: So you guys – can you help understand that with your comment on inflation slowing and then I think there was a separate comment that you were seeing hardware to tick up. At what point on the P&L I guess there is a lot of different inputs going on, but what’s the outlook in the near term, should you guys continue to see modest inflation in the P&L or just kind of how are you guys – what are you guys currently seeing in your inventory I guess is a better way to frame it?
Scott Culbreth: Yes, so there were a couple of questions that we wrapped, let me try to segment them into a couple of different buckets to talk through. So the comment with regards to Q4 was a 2% inflation that we are seeing, the pace has slowed and that’s what we keep referencing we’ve done through the last couple of quarters. We still see inflation on certain species, so that’s one of the challenges. You can’t generically just state the trend is up or down, depends on which species you are talking about, you’re looking maple, soft maple, hard maple, you’re looking at cherry, different trends are happening on each of those species. So we’re seeing that play out over the last couple of quarters where the pace of change has slowed. I don’t think it will be stagnant forever, I think there is likely going to be some uptick as we go forward. We started to see some signals of that in lumber pricing reporting but we’ve not incurred any of that actual cost yet. As far as guidance for fiscal year 2016, we are not expecting a significant uptick in inflation. We are assuming it will be somewhat steady to current state.
Scott Rednor: Great, that’s very helpful. Appreciate the details and congrats on a great quarter guys.
Scott Culbreth: Thank you.
Operator: [Operator Instructions] And Mr. Eanes, at this time, there are no other questions in queue. I'll turn it back over to you for closing remarks.
Glenn Eanes: Thank you. Since there are no additional questions, this will conclude our call. Again, thank you for taking time to participate. Speaking on behalf of the management of American Woodmark, we appreciate your continuing support. Thank you, and have a good day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference.